Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2016 American Public Education Inc. Earnings Conference Call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, today's program is being recorded. I would now like to introduce your host for today's program, Mr. Chris Symanoskie, Vice President, Investor Relations. Please go ahead sir.
Chris Symanoskie: Thank you, operator. Good evening, and welcome to the American Public Education conference call to discuss financial and operating results for the third quarter of 2016. Please note that statements made in this conference call regarding American Public Education or its subsidiaries that are not historical facts are forward-looking statements based upon current expectations, assumptions, estimates and. projections about American Public Education and the industry. These forward-looking statements are subject to risks and uncertainties that could cause actual future events or results to differ materially from such statements. Forward-looking statements can be identified by words such as anticipate, believe, seek, could, estimate, expect, intend, may, should, will and would. These forward-looking statements include, without limitation, statements regarding expected growth, amounts and nature of anticipated charges, expected registrations and enrollments, expected revenue, expected earnings and plans with respect to recent and future initiatives, investments and partnerships. On our call today, we'll discuss certain non-GAAP financial measures in connection with our GAAP results for the three and nine months ended September 30, 2016. These non-GAAP financial measures are not intended to be a substitute for GAAP results. However we believe they will allow investors to better compare results to prior periods. American Public Education urges investors not to rely on any single financial measure to evaluate its business and to review the reconciliation of its non-GAAP financial measures to the comparable GAAO financial measures that are included as part of an exhibit to our current reports on Form 8-K filed earlier today. Actual results could differ materially from those expressed or implied by these forward-looking statements as a result of various factors including the risk factors described in the risk factor section and elsewhere in the company's annual report on Form 10-K filed with the SEC, quarterly report on Form 10-Q filed with the SEC and the company's other SEC filings. The company undertakes no obligation to update publicly for any forward-looking statements for any reason, unless required by law even if new information becomes available or other events occur in the future. This evening is my pleasure to introduce Dr. Wallace Boston our President and CEO and Rick Sunderland, are Executive Vice President and Chief Financial Officer. Now at this time, I'll turn the call over to Dr. Boston.
Wallace Boston: Thank you, Chris good evening, everyone. I will begin our call today by discussing our recent operating results and reviewing the progress we've made with respect to our strategic goals. Rick Sunderland, our CFO will then report on our third quarter financial results and provide perspective on the company's Outlook for the fourth quarter of 2016. In the third quarter of 2016 net course registrations at APUS declined 10% compared to the prior year period. Although net course registrations by new students declined 23% year-over-year, net course registrations by returning students decreased 8% compared to the prior year period. We believe that the difference in the rate of decline of registrations by new students and that of returning students relates at least in part to improvements in persistence and our quality mix of students. For the three months ended August 31, 2016 and that's the period where we have the most recently available information, the first course pass and completion rates of undergraduate students using federal aid at APUS increased approximately 17% year-over-year with the month of August reaching the highest such rate since August 2010. Furthermore approximately 62% of new civilian students who started in January through August 2016 have started a second session compared to 55% for the same time period last year. We believe the continued improvement and persistence is a possible indicator that our efforts to attract and retain students with greater college readiness are working. The overall decline in net course registrations by new students at APUS was primarily driven by 34% year-over-year decrease in net course registrations by new students using Federal Student Aid or FSA and a 20% year-over-year decrease in net course registrations by new students using military tuition assistance or TA. We believe the decline in new students using FSA was primarily a result of our efforts to improve our quality mix of students through our admissions processes, adjustments to our marketing efforts and increasing competition for online students. We believe the decline in new students using TA is primarily the result of changes in how the TA program is being administered by the Department of Defense as well as other possible factors. Additional changes to TA program administration through productions, deployments and access to military bases could adversely impact net course registrations in the future. Net course registrations by new students using veterans benefits decreased 1% year-over-year and net course registrations by new students using cash and other sources decreased 10% compared to the prior year period. We believe that the change to the multiple disbursement method of disbursing federal student aid to first time APUS undergraduate students in various efforts aimed at improving our quality mix of students have helped to reduce bad debt expense. Bad debt expense decreased to 2.2% of revenue in the third quarter of 2016 compared to 3.4% of revenue in the same period of 2015 and compared to the high of 5.7% of revenue recorded back in the second quarter of 2014. In the third quarter of 2016, total enrollment at Hondros College of Nursing declined approximately 11% year-over-year and new student enrollment declined approximately 20% compared to the prior year period. We believe these declines were the result of various factors including the uncertain status of Hondros as a creditor ACICS and its effect on enrollment, our efforts to enhance the quality and efficiency of the curriculum and changes in the institution's leadership. Although Hondros may continue to be challenged by regulatory change and other headwinds in the future, we are pleased that efforts to stabilize enrollment and further advance our original plan are beginning to yield results. For example Hondros is enrolled for the fall term or for the three months ending December 31, 2016, its largest cohort of new student since fall of 2014. This represents approximately a 1% year-over-year increase in new student enrollment and the first year-over-year increase since the second quarter of 2015. Hondros has applied for and is pursuing initial accreditation by the Accrediting Bureau of Higher Education Schools, ABHES, a national accreditor for allied health schools. This is particularly important development given the rest of Hondros's current accreditor ACICS may eventually seize to be a recognized accreditor enabling title for eligibility. Hondros has experienced sequential improvements in its NCLEX license share exam pass rates. Although we anticipate that one of their programs may not meet OBN standards, Hondros has already implemented curriculum changes that it believes will result in additional increases and NCLEX license share exam pass rates over time. Lastly Hondros has announced that it is set to begin classes and practical nursing PN programs at his new Toledo campus starting in January of 2017. As previously noted, our long-term plan for APUS includes several important initiatives aimed at achieving two critical near-term goals. One, to increase student persistence and two, to stabilize student enrollment. We're pleased with the current trajectory of persistence rates at APUS. We will continue with our efforts to stabilize enrollment, which is particularly challenging given the difficult higher education landscape and relatively low marketing budget compared to the marketing expenditures of our higher priced peers. Over the next few months we plan to continue to focus on enrollment challenges by working to strengthen our brand, further improving enrollment processes, adding new programs and expanding our strategic relationships, in addition to our recent investment in new enrollment management leadership. In 2015 APUS provided more than $8.6 million in grants and scholarships to our nonemployee students. These included tuition grants, equity grants, grants for strategic partners and other scholarships. We believe that there are additional opportunities for APUS to promote the availability of existing grants and scholarships to attract new students, particularly among military affiliated public safety and corporate communities. We've continued to observe variances between lead flow, applications and student starts at APUS. As a result we intend to expand our focus on analysis, predictive modeling and applied innovations to improve the dynamics of our enrollment lifecycle. To help lead the advancement of our enrollment efforts, we've recently hired Robert Gay as our new Chief Operations Officer. Bob Gay is an industry leader in enrollment management who most recently served as Senior Vice President of McGuire Associates, a higher education consulting firm focused on enrollment management. Among his many prior positions, Mr. Gay served as Vice President of Enrollment Management at the New School, Party and Learning Group and University of Maryland University College. APUS also recently announced the appointment of Dr. Bernard C. Smith as Provost to succeed former provost and current APUS President, Dr. Karan Powell. Dr. Smith was formally Vice Provost of distributed learning and Associate Professor of the Benerd School of Education for the University of the Pacific. In his new role at APUS, he will be responsible for ongoing initiatives focused on learning outcomes assessment, program development and faculty development as well as innovation and advancement of our curriculum. Although APUS offers more than 200 degree and certificate programs, we remain focused on additional opportunities for expansion and professions where demand is growing and where corporations struggle to find talent. For example APUS recently launched seven new programs a BS and MS in Business Analytics, a Certificate AA and BA in Technical Management, a Graduate Certificate in Accounting and the CPA exam preparation certificate. As a result of our unique affordability, we believe APUS is well-positioned to help employers advance the capabilities of their workforce and lower the cost of human capital. In addition to helping jobseekers close significant skills gaps and find employment and/or advancement. APUS has submitted new competency-based programs to the Higher Learning Commission, HLC for approval. Once approved by the HLC, we plan to launch the programs under initiative we call momentum, competency-based faculty guided degree programs that empower students to events more rapidly by demonstrating mastery of program competencies, through more engaging, flexible and cost-effective approach. Initially our focus will be on undergraduate degrees in retail management, criminal justice, emergency and disaster management, forensic management, information technology and information system security. Given APU strong reputation among public safety communities, we’ve launched the APUS Center for Applied Learning, CAL, a B2B program to provide customized training aligned with the workforce demands of public safety professionals and their employers. In fact CAL just announced the completion of its first customized professional development program entitled Active Shooter for Non-First Responders. This program represents a precedent-setting collaboration between CAL and Command Excellence, an organization that specializes in critical incident preparation and survival training for corporate manufacturing retail and educational institutions. CAL has already qualified interest among a growing pipeline of domestic and international corporations in anticipation of the program's release. We believe new professional learning solutions like this will allow us to deepen long-standing ties with their strategic partners and enable us to develop new relationships with corporations and professional associations. In the third quarter of 2016 APUS developed several new strategic relationships including with Holland America Group, the U.S. Postal Service and National Public Employees Alliance, the only national affinity group dedicated to the public service sector. In summary I am encouraged by the notable progress we've made with respect to improving student persistence and reducing bad debt expense at APUS while simultaneously improving the student experience, diversifying our program offerings and maintaining our affordability. Our progress is important to our long-term success especially in the face of regulatory headwinds. According to the Department of Education's draft that earnings rates, none at APUS or HCON's degree programs were identified as failing or in the warning zone for gainful employment regulations. Furthermore, I'm pleased by the sequential improvement in NCLEX licensure pass rates and the increase in new student enrolment for the fall term at Hondros College of Nursing. Perhaps this is early indication that the efforts of our new management team at Hondros have begun to yield positive results. Stabilizing enrollment at APUS and returning to growth is of critical importance to our management team. We are later focused on further strengthening our brand, programs and enrollment processes. I'm pleased we have hired a tremendously skilled enrollment management executive and new provost to assist us in this effort. We believe that our new degree programs coupled with the growing emphasis on workforce development, competency-based learning and expansion of our strategic relationships will also support efforts to strengthen our enrollment in the future. At this time I will turn the call over to our CFO, Rick Sunderland. Rick?
Rick Sunderland: Thank you, Wally. American Public Education, third quarter 2016 consolidated financial results, include a 3.3% decline in revenue to $73.8 million compared to $76.3 million in the prior year period. Both our APEI segment and our Hondros segment reported declines in revenue when compared to the prior year. In the third quarter our APEI segment revenue decreased 3.1% to $67.1 million compared to $69.2 million in the prior year period. The decline in APEI segment revenue is the result of the decrease in net course registrations, partially offset by the July, 2015 tuition increase. Hondros segment revenue decreased 4.5% to $6.7 million in the third quarter of 2016 compared to $7.1 million in the same period of 2015. The decline in Hondros segment revenue is due to decreased enrollment at Hondros. On a consolidated basis, cost and expenses increased 11.6% to $73.4 million compared to $65.8 million in the prior year period. The increase was primarily due to a $4.3 million loss on disposals of long-lived assets and a $0.8 million loss on assets held for sale in our APEI segment and a $4.7 million charge for impairment of goodwill in our Hondros segment. The $4.3 million expense related to disposal of long-lived assets was primarily due to a $4.0 million right off of student course registrations software development which resulted when it was no longer probable that the software would be completed and placed into service as a result of programming difficulties that could not be resolved on a timely basis and without additional cost. The $0.8 million expense on assets held for sale represents two buildings in Charlestown that are no longer in use due to the relocation of employees to a new facility. The company recorded loss of $0.3 million on the sale of one building and a $0.5 million loss on the second building that is expected to be sold in the next 12 months. In connection with the preparation of our financial statements, we completed an interim assessment and goodwill impairment test in accordance with ASC 350 intangibles, goodwill and other. This interim assessment determined that the fair value of Hondros goodwill with less than its carrying value and resulted in a pretax non-cash impairment charge of $4.7 million. For additional information regarding the impairment charge please review APEIs quarterly report on Form 10-Q. For the third quarter, consolidated and structural costs and services expense or ICS as a percentage of revenue increased to 38.4% compared to 38.2% in the prior year period. The year-over-year increase as a percentage of revenue is due to revenue decreasing at a rate greater than the decrease in ICS costs. Selling and promotional expense or S&P as a percentage of revenue decreased to 17.8% of revenue compared to 18.4% in the prior year period. Year-over-year, S&P cost decreased 6.6% to $13.1 million compared to $14.1 million in the prior year period. Accordingly the year-over-year decrease as a percentage of revenue is due to S&P costs declining at a rate greater than the decline in revenue. General and administrative expense or G&A as a percentage of revenue increased slightly to 23.2% from 23.1% in the prior year period. Our G&A expenses decreased 2.8% to $17.1 million compared to $17.6 million in the prior year. The decrease in G&A expense was primarily related to a decrease in bad debt expense in our APEI segment that was partially offset by professional fees incurred during the organizational realignment and increased compensation costs. For the three months ended September 30, 2016 bad debt expense decreased to $1.6 million or 2.2% of revenue compared to $2.6 million or 3.4% of revenue in the third quarter of 2015. We believe the improvement in bad debt expense as a result of our ongoing efforts to attract students with greater college readiness, the change in our quality mix of students and the launch of the multiple disbursement method of disbursing federal student aid to first time APUS undergraduate students. In the third quarter of 2016 we reported GAAP income from operations before interest income and income taxes of $0.4 million compared to $10.5 million in the prior year period. In the third quarter we reported GAAP net income of $0.3 million or $0.02 per diluted share compared to GAAP net income of $6.8 million or $.41 per diluted share in the prior year. Adjusted net income the non-GAAP measure for the third quarter 2016 was $5.7 million or $0.35 per diluted share. Adjusted net income for the third quarter of 2016 excludes the $4 million right off a student course registrations software development in our APEI segment and the $4.7 million charge for impairment of goodwill and our Hondros segment and reflects the applicable tax rate of those adjustments. For additional information regarding adjusted net income a non-GAAP measure please refer to the GAAP to adjusted net income reconciliation in the financial tables in the earnings release. Cash generated by the business remains strong for the nine months ended September 30, 2016 net cash provided by operating activities was $42.7 million compared to $42.8 million in the prior year period. Capital expenditures declined to approximately $9.7 million for the nine months ended September 30 compare to $19.6 million in the prior year period. Depreciation and amortization was $14.6 million for the nine months ended September 30, 2016 compared to $14.2 million for the same period in 2015. Total cash and cash equivalents as of September 30, 2016 were approximately $137.7 million, with no long-term debt. Going on to Slide 6 the outlook for the fourth quarter, our outlook for the fourth quarter of 2016 is as follows. APUS net course registrations by new students in the fourth quarter of 2016 are expected to decrease between 30% and 26% year-over-year. Total net course registrations are expected to decrease between 14% and 10% year-over-year. The expected declines are largely result of anticipated declines in net course registrations by students using federal student aid and student using military tuition assistance. In the fourth quarter of 2016 total student enrollment at Hondros is expected to decrease by 13% year-over-year and new student enrollment is expected to increase by practically 1% year-over-year. As Wally indicated earlier we are pleased to see the turnaround and new student enrollment at Hondros and we are excited to announce that Hondros is set begin classes in practical nursing this January at its new campus in Toledo Ohio. For the fourth quarter of 2016 we anticipate consolidated revenue to decrease between 6% and 3% year-over-year. Net income for the fourth quarter of 2016 is expected to be in the range of $0.38 to $0.43 per fully diluted share. In closing we are pleased with the continued reduction in bad debt expense and ongoing improvement and persistence rates at APUS and we're excited about the opening of the Toledo campus and improvements in new student enrollment at Hondros. Going forward enrollment stabilization at APUS is our top priority which we intend to address through investment enrollment management leadership, continued efforts to optimize our marketing efforts and new program development that includes new degrees in competency-based programs for which we are currently seeking approval. At the same time we plan to leverage our affordability, reputation for quality, existing strategic relationships and B2B capabilities to address long-term workforce and skills development opportunities in the marketplace. Now we’d like to take questions from the audience. Operator, please open the line for questions.
Operator: Thank you [Operator Instructions] Our first question comes from the line of Peter Appert from Piper Jaffray. Your question please.
Peter Appert: Thanks. Good afternoon. So, Wally I guess, I'm not fully understanding why the acceleration in the piece of decline at APUS in the fourth quarter and the contracts are getting a little bit easier. So what would you call out as the major factors?
Wallace Boston: I think we did call out the major factors Peter as a decline in FSA and a decline in TA. So, the FSA search is to continue to find ways to have a qualified student and academically qualified and prepared student and I'd say that we've talked about anywhere from five to six different initiatives that we've done over the last two years that's probably our biggest struggle and it's where our biggest decline is. And we're pleased that we're bringing in a nationally recognized enrollment management person who particularly has a lot of background with civilian student enrollment management. On the TA side, there's multiple explanations, but DOD has continued to change its processes and some of them are the same among the services, some of them are different. So we're not sure of the exact reasons whether it's the drawdown in staff that's happening in the Army, whether it's budget reasons that are no longer publicized at to what the budget is for the new fiscal year. Remember we have a continuing resolution that I think funds these types of expenses through like December 8, but there's no guarantee beyond that and I guess the election tomorrow will tell us whether there will a cooperative Lame Duck Congress are not so cooperative Lame Duck Congress. And then other processes such as the Army built a recommendation engine called [Via] and no one knows exactly how it works, it's a little too soon to tell. And then there's the base access issue that has been going on for a while. So the net of that is, is that no we have a decrease in our TA students. If I could give you specific explanations, I would but, hopefully we can find ways to stabilize that but in the past, we had such a high referral rate on TA students that our conversion rate on TA students who inquired who then applied and who then enrolled was quite high and in fact more than double what our civilian rate was. So, making up for finding those students in the civilian sector when we already have a process that we put in place to make sure we get qualified civilian students is just really hard.
Peter Appert: Understood, one thing Wally as you’re trimming the selling and promotional expenses, I am trying to understand your attempt to protect profitability, but it seems like there is a disconnect in terms of trimming the marketing budget when you're trying to increase the flow of increase in students, can you talk about that?
Wallace Boston: Yes, I wouldn’t say -- the number is down Peter, but I would tell you that both Rick and I would spend more money if the process is that -- the processes that we're putting in place to find quality civilian students are such that by ramping up the spend, we could find more quality students. It's just right now that doesn't happen. We're experimenting with things. We're spending some money. Those amounts of money aren’t material, but when the things that we're spending money on to pilot a new student recruitment idea to increase that quality don't work, then we’re not going to throw good money after bad. And I would say that on the good news, the applications themselves are strong. So the things we put in place on the application side are very strong. It's just that our conversion rate is lower than it's been in the past and we're thinking that probably one explanation for that is competition, but we're looking in our processes and seeing if there's anything else that might explain it. For example we slower to get back with students than some of the other firms that we compete with, So, were looking into that, but on the good news side our application volumes are very strong.
Peter Appert: And just one last thing, on the -- any insight in terms of the timing of an answer on the change in accreditation for Hondros?
Wallace Boston: No. We disclosed who we had send our application and within one of the requirements with them is that we not discuss the process. So we'll announce it as soon as we have something to announce.
Peter Appert: Okay. Thanks Wally.
Wallace Boston: Sure.
Operator: Thank you. Our next question comes from the line of Corey Greendale from First Analysis. Your question please.
Corey Greendale: Hey good afternoon. Couple question, can you just on the positive side, put a little more detail behind what drove the improvement in Hondros in students?
Wallace Boston: Sure. Management, we put in -- we took our COO and made him Interim CEO and then he went out and recruited new campus directors for all three of the four campuses as well as a Campus Director for our newly approved Toledo location and they're making a difference.
Corey Greendale: Any lessons learned or extrapolation you could apply to APUS?
Wallace Boston: Well, we don't have campuses with APUS. So it’s a different situation, but I think that and also the recruiting nursing student is very much different. There's a high referral percentage for marketing to nursing students. We don't spend as much money to do that at Hondros. There's a preliminary test that you have to take as well, but if I keep it simple, we have hired a new Provost who has a tremendous background in online learning and we have a new enrollment management person who has a tremendous background. We cited the institutions that he has worked for in the past as well as the premier enrollment management consulting firm. So, we're pretty optimistic that we might be make a difference with that.
Corey Greendale: Okay. And then on the revenue per registration per student was up high single digits as I calculated for both APUS and Hondros in the quarter, can you just give little bit on what drove that?
Rick Sunderland: Yes, on the APUS side it has to do with the timing of starts. So, we recognize revenue based upon what we call normalized registrations, which are revenue generating registrations versus what we reported simply registrations. So, it's the interplay between the difference between registrations than normalized registrations.
Corey Greendale: Okay. And Hondros?
Wallace Boston: Hondros is the new curriculum facing in as having an effect on the mix between if you will between the day, class and the evening and weekend class, which is driving up ever so slightly the total revenue per enrolment.
Corey Greendale: Okay, And Rick sorry on that APUS if its riming, I think the guidance implies revenue per registration is going to up by similar rate in Q4. Do I have that right and is that going to be true, how many quarters is that going to be true for?
Wallace Boston: That's true for the fourth quarter. I don't know that I've days count going out beyond that. So I can’t comment on that.
Corey Greendale: Okay, And then I have a similar question about the competency based programs that I don't know figured out all the details yet, but could you give us some sense of how you’re position that relative to your existing programs and thoughts on pricing of those programs?
Wallace Boston: We haven't announced the pricing and as a matter of fact, while literally while we were on this call, we got an email indicating that they've been approved. Yes, thank you so, we will have to put out some information on the estimated start and what our pricing is, but the intent is to -- I would tell you this, the programs for competency are in areas where we already do regular degrees which are credit our -- clock hour based and we have very good relationships. I think we disclosed that the six areas in which we’ve submitted for approval and like I said we’ve got an email while I was on this call and so we believe that for our corporate and public sector partners in this area, this will offer a very relevant program for their employees with a lot of experience who may or may not have the time to do the credit hour, clock hour about based program, but have enough experience to pass the competency-based exams and assessment that we built into this program.
Corey Greendale: Understood, sounds like if you’re getting good news during the call, I can keep asking questions, may be you keep getting good news. I’ll turn it over. Thanks.
Wallace Boston: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jeff Silber from BMO. Your question please.
Henry Chien: Hey good evening guys. It's Henry Chien on for Jeff.
Wallace Boston: Hi, Henry.
Henry Chien: I just had a question, hey guys, I just had a question on the new enrolment. I guess management or strategy just wondering if you could put some more color on how you're targeting the FSA, if you had like a particular niche or strategy just looking -- just for some color there. Thanks.
Wallace Boston: It’s targeting is limited to certain geographical areas and to certain sectors with either public-sector or corporate clients that we have relationships with. So, I don't want to get really specific because we listen to other people's calls and try to find out what markets are pursuing pretty heavily. But that is a different strategy than two and half, three years ago when we primarily bought Google keywords that related to the degrees we offer and related to affordability and use that to bring in people from all areas of the country. We now are also requiring people who are not transferring in credit to complete an assessment that we have to make sure that they’re ready for college and that something different as well. So, there's probably a couple other things were doing that I'm not remembering here, but we've definitely taken a different approach for multiple reasons, accreditation reasons, regulatory reasons and yes we know that it's not favorable to our enrollments in the short term, but we believe it's very favorable for us reputationally and as well as a good quality indicator in the long-term. This has taken us little more, a little longer than then I would hope to stabilize what we can have as predicted civilian enrolments.
Henry Chien: Got it. Okay, that’s fair enough. And just on Hondros if the ACIS or the ACICS I is not recognized or renewed what’s the thinking of how to, what to do if that happens?
Wallace Boston: Well, I think the thinking is that, once that decision is final, if it’s not appealed and goes through an appeal process, but once it's final, regardless of which way the outcome is, institutions who were accredited by ACICS at 18 months to obtain new accreditation. We didn't want to wait till the decision was final. So, we basically made a decision on who we to contact and why and our application is in process.
Henry Chien: Got it. Okay, great and just lastly a quick follow-up, in terms of the -- sorry if I miss this, but for the net new course registrations for FSA and TA and other what were they again?
Wallace Boston: Are you talking about the fourth quarter guidance or the third quarter actual?
Henry Chien: Third quarter actual.
Wallace Boston: Rick, do you want to give that…
Rick Sunderland: So, I’m sorry you want new?
Henry Chien: Yes, I think was it down 34% for FSA was that…
Rick Sunderland: Federal Student Aid was down 34, TA was down 20, that’s on the new and on total, total FSA was down 15 and TA was down 9 for the third quarter.
Henry Chien: Okay, got it. TA is down 9 and then other bucket?
Rick Sunderland: Okay, back to the new, VA was down 1 and other was down 10. So, to wind all that together, we were down 23 and on total, VA was down seven and other was down eight. If you blend all that together, VA was up 1. I am looking at VA was down 7 I believe. Yes 7, sorry we’re looking at the chart.
Wallace Boston: Yes, we’re looking at two different chat.
Rick Sunderland: VA was down 7, other was down 8, and you blend all that together, and you're down 10 on total.
Henry Chien: Got it, okay. Great thank so much.
Rick Sunderland: Thank you.
Operator: And this does conclude the question-and-answer session of today's program. I’d like to hand the program back to Chris Symanoskie for any further remarks.
Chris Symanoskie: Thank you, operator. That will conclude our call for today. We wish to thank all our callers for participating and for your interest in American Public Education. Thank you and have a great evening.
Operator: Thank you, ladies and gentlemen for your participation in today’s conference. This does conclude the program. You may now disconnect. Good day.